Operator: Good afternoon, everyone, and thank you for participating in today's conference call to discuss BurgerFi International's financial results for the fourth quarter and fiscal year ended January 1, 2024. Joining us today are Carl Bachmann, CEO; and Chris Jones, CFO. Following their remarks, we'll open the lines for your questions. Before we begin, I want to remind everyone this conference call may contain forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995. These forward-looking statements may be related to BurgerFi's estimates of its future business outlook, liquidity, store opening plans, same-store sales and restaurant operating margin growth plans, prospects or financial results, including projected sales, restaurant EBITDA. Forward-looking statements generally can be identified by words such as anticipates, believes, estimates, expects, intends, plans, predicts, projects, will be, will continue, will likely result and similar expressions. These forward-looking statements are based on current expectations and assumptions that are subject to risks and uncertainties, which could cause the company's actual results differ materially from those reflected in the forward-looking statements. Factors that could cause or contribute to such differences include, but are not limited to, those discussed in the annual report on Form 10-K, the year ended January 1, 2024, will be filed this afternoon and those disclosed in other documents that the company files with the Securities and Exchange Commission. All subsequent written and oral forward-looking statements attributable to BurgerFi or persons acting on BurgerFi's behalf are expressly qualified in their entirety by the cautionary statements included in this conference call. The company undertakes no obligation to revise or publicly release the results of any revision to these forward-looking statements except as required by law. Given these statements and uncertainties, listeners are cautioned not to place undue reliance on such forward-looking statements. Also, the following discussion will contain non-GAAP financial measures. For a discussion and reconciliation of these non-GAAP financial measures, please see the earnings release for the fourth and fiscal year 2023. I would also like to remind everyone that this call will be available via telephonic replay for two weeks starting today. A webcast replay will also be available via the link provided in today's press release, as well as on the company's website at www.burgerfi.com. Please note today’s event is being recorded. At this time, I'd like to turn the floor over to BurgerFi’s CEO, Carl Bachmann. Carl, go ahead.
Carl Bachmann: Thank you. Thank you for joining us today and we appreciate your interest in BurgerFi. Let me begin by thanking our entire team, franchisees, and employees for their dedication and hard work. 2023 was a challenging year at both Anthony's and BurgerFi, but also no way indicative of the work this new management team is doing or where we intend to take the business over time. Both Chris and I began our leadership in July, 2023 and since then I've been working diligently to fix the foundations of both brands to ensure the next best turnaround story in the restaurant space is an indisputable success. In fact, I'm more convinced than ever that Anthony's and BurgerFi are high quality brands with great opportunities ahead and strong growth potential. Leveraging my prior experience in turnaround situations at burger and pizza concepts, I implemented five key strategic priorities when I began eight months ago that I will discuss momentarily and which should ultimately drive long-term profitable growth. Notably, we have already begun to see early leading indicators that our efforts are taking hold. While Anthony's had a 3% decrease in same-store sales growth during the fourth quarter, it did experience a sequential improvement in same-store sales and traffic compared to the third quarter and encouraging performance during the holidays. And while, like most of our peers, January was a challenging month, trends have improved sequentially with March flat to slightly positive adjusting for the Easter ship. Performance remained volatile at BurgerFi during fourth quarter. System-wide same store sales decreased 10%, however, we did see sequential improvements from the third quarter in same-store sales and traffic at both company and franchise locations. This volatility, however, continued into the new year where results have been more challenging. We believe that a combination of normalized trends versus COVID and overall softer demand in the Florida market is part of our challenge as stores in Northeast and elsewhere have fared better. Looking forward with the combination of new unit growth and improving same store sales trends driven by our expanded offerings and more effective marketing messages, we anticipate BurgerFi returning to positive same-store sales and positive EBITDA by the second half of 2024. Additionally, we're equally confident in Anthony's return to a positive, same store and a positively EBITDA growth driven by similar initiatives, including menu modification and aggressive focus on food costs and the benefits from an updated POS platform. To give you a sense of why we are confident that we can reach these goals in 2024, I will provide a detailed update on our five strategic priorities. Number one infrastructure, which is really about the people. We needed to build the team and create camaraderie around the two brands at the restaurant level and in our corporate office. So our first step was fixing the Team element and we've been very successful at that. Our restaurants are now about 95% staffed with significantly reduced turnover. Notably, turnover at Anthony's is better than industry standards, and BurgerFi is now in line with the industry. This has significantly reduced training labor needed at the restaurant level. As a result, we expect to see improvement in our labor line throughout 2024. These efforts have also resulted in higher consumer satisfaction scores, as well as faster throughput and ticket times. While these encouraging metrics are not yet reflected in financial performance, they are the leading indicators that we are on the right path towards higher sales and margins. We have also started to leverage technology at both brands. In Q1, we began using an operations management platform at BurgerFi and started rolling it out to Anthony's, which enables us to manage all inventory and labor across our company-owned locations. This system will help us drive efficiency and operational excellence across the portfolio. In April, we will be rolling out the Toast POS and management system across our Anthony's locations. We believe this system will improve operations, increase sales and create a better guest experience. Part of this rollout will include handheld tablets for our servers that will allow them to beam orders directly to the kitchen which will increase accuracy and speed of table turns. Up until now, Anthony’s was using paper tickets and did not have KDS, which has been a commonly used back-of-the-house stool across the industry for years. As a result, we had no analytics and speed of service to drive efficiencies in the kitchen or dining rooms. By end of Q2, we expect a new Toast POS system to be in most, if not all, 59 company-owned Anthony’s. Next is taste and quality. We're continually focused on improving the taste and quality of our products at both brands. Across both brands, as we rightsized the menu while also adding new items with broad appeal. At BurgerFi, we launched new chicken wings and four different types of BurgerFi bowls. We also introduced a grilled and crispy chicken sandwich option in 31 company-owned stores, as did not previously have any grilled chicken options at BurgerFi. We want to be part of the chicken wars, and have already seen a 4% to 5% lift in overall mix. We continue to innovate with our burgers as well. In Q1, we launched two new burger LTOs. In January, we launched the Yes, Chef Burger and in February we debuted a Prime Rib Burger at the South Beach Wine and Food Festival. These two burgers are already accounting for more than 4% of our overall mix. At Anthony's, we launch new classic Italian items including spinach and artichoke dip, spaghetti and meatballs, Fettuccine Alfredo and a great meat Stromboli. We also brought back our original arugula burrata salad. We are now testing new shrimp pastas and pizzas in preparation for our first ever Italian Trim Festival in April. Finally, we're having fun with a new happy hour called the Meatball Martini Night. All new menu items across both brands are well exceeding our expectations. Our next initiative is developing gold standards. Between my prior lease of experiences and feedback from employees and guests at both brands, I have determined what our gold standard are and have begun holding ourselves accountable to them so that we can drive long-term sales growth. We've standardized our catering program and are in the process of rolling out systemwide. It is already contributing significant additional revenue. In addition to reestablish industry leading gold standards, we have improved the quality of our buns, our all-natural Angus beef, our French fry process, and our exclusive plant-based VegeFi burger. As a result of the work we are doing around gold standard ,our third-party audit scores are already strengthening. Priority before is telling the world about our brands through an enhanced marketing strategy that is already resonating with customers. Our social media engagement rate continues to improve with 60% net positive sentiment at BFI and 56% at Anthony's, up 4% since August of 2023. Additionally, our online reviews continue to improved. Our five-star online review have increased from 4.2 to 4.4 since July 20 23 when Chris and I began our leadership roles. The highest in the company's history. These early indicators are signs that the marketing strategy is working. Finally, I'll end with step five, defining the portfolio, which is about both store development and optimization. We conducted a strategic assessment of our BurgerFi portfolio to identify locations with the greatest opportunities for improvement. We segmented each restaurant location into four performance buckets based on the correlation between online ratings and comp sales growth. Our assessment validated the high correlation between guest ratings and financial performance. We intend to prove the overall portfolio quality by prioritizing the highest impact locations. As of January 1st, our portfolio consists of 108 BurgerFi restaurants, 28 corporate-owned and 80 franchised, and 60 Anthony's, 59 corporate owned and one franchised. As we continue to rightsize our portfolios, we closed five underperforming franchise BurgerFi restaurants during the fourth quarter. We also acquired two franchise BurgerFi in South Florida in a strategic move to solidify our presence in our core markets. We believe these restaurants can be high volume and margin-accretive as we fortress South, Florida. We expanded our footprint using a non-traditional space by opening a franchise BurgerFi within Apple Cinemas in the Pittsford Plaza Apple Cinemas in Rochester, New York. This location provides in-theater service where guests scan QR codes during their movies to have food delivered directly to their seats. It also provides third-party delivery service capabilities for non-theater customers. We believe non-traditional spaces will become a larger part of our development story as they represent a great opportunity to grow the brand and get people excited about BurgerFi again within a smaller footprint and lower start-up costs. Franchisees are able to build a 500 square foot kiosk to drive revenue without the same level of capital expenditure as a 2, 500 square foot store. Apple Cinemas is already working on a second BurgerFi movie theater location in Warwick, Rhode Island that we expect to open this year and see an opportunity to expand to most of their locations east of the Rockies. We continue to grow our presence in airports across the country with a second BurgerFi location in the Fort Lauderdale- Hollywood International Airport slated to open this year. In December, we opened our first ever co-branded BurgerFi and Anthony's location with our franchisee NDM Hospitality Services in Kissimmee, Florida. This location is off to a very strong start and exceeding expectations. Later this year, NDM will open a second cobranded location into Miami World Center development near the Miami Brightline Station and the third location is slated for 2025. Just last week, BurgerFi reopened our flagship company owned BurgerFi restaurant and first ever, Better Burger Lab on the Upper East Side of Manhattan. This location offers an exclusive lineup of limited edition offerings not available at our other locations and a late night menu with a variety of beer, wine. It will also serve as a venue for special events. We are so excited to be back in New York City, the food capital of the world, and look forward to welcoming many of you on this call to this restaurant. Looking ahead, we are targeting other metropolitan cities on the I-95 corridor to grow the BurgerFi brand as these are the DMAs where BurgerFi do extremely well. We're excited to share this week we signed another franchise agreement for three Anthony's in the Jacksonville, Florida area. We expect these restaurants to open in 2025. One of my main priorities has been finding well capitalized franchisees with restaurant, retail, and hospitality experience to bring more disciplined and profitable growth to our system. To conclude, I am more confident than ever that I made the right decision to join the company. Sales and margin improvement will not happen overnight, but we are laying the foundation to grow upon. We are making very educated, smart decisions using a very simple formula. We must win for our guests, we must win for the team members, and we must win the shareholders and franchisees. With that, I will now turn the call over to our CFO, Chris Jones, who will provide commentary on our fourth quarter 2023 performance, and discuss our guidance. Go ahead, Chris.
Chris Jones: Thank you, Carl, and good afternoon, everyone. As Carl stressed, while not evident yet in our financials, please note that this new management team is working hard every day executing a sound strategy that will increase sales and improve margins over time. During the fourth quarter, top line softness pressured margins, but that didn't stop us from continuing to drive labor and cost efficiencies as evidenced by the continued decline in payroll and corporate expense dollars. Bottom line is that the more work we do driving efficiencies today, the greater margin expansion opportunity we have as we emerge from the recovery. With Anthony's moving into positive comps here in March and ending the month roughly flat adjusting for Easter, we are cautiously optimistic that we will start to see some with this positive leverage for our largest brand in 2024. Now briefly look in at the fourth quarter. Total revenues were $41.5 million decreasing 8.3% from $45.2 million for the same quarter last year. Anthony's corporate owned restaurants contributed $31.1 million to total revenues in the quarter, the decrease in revenue attributable to decrease in same store sales at both brands, partially offset by the additional revenue from two acquired BurgerFi restaurants for franchisees during the fourth quarter. Restaurant level profit margin was 12.5% for the fourth quarter of 2023, compared to 13.9% in the fourth quarter of 2022. The decrease was primarily related to lost sales leverage. However, we continue to see an improvement in food beverage and paper costs, a trend that should continue through 2024. We are also beginning to see an improvement in other operating expenses due to better expense management. We expect to a see improvement in restaurant level profit margins throughout 2024 as we accelerate the rollout of the inventory control system to Anthony's. Shifting to our individual brand results, the BurgerFi corporate owned restaurant sales decreased 4% to $8.3 million reflecting a 14% decrease in corporate-owned same-store sales. System-wide sales for BurgerFi in the fourth quarter decreased 9% to $33.9 million compared to $38.7 million in the year ago quarter, primarily due to the closure of underperforming company stores, coupled with the clients and same-store sales. BurgerFi systemwide same-store sales decreased 10% for the fourth quarter compared with same period in ‘22. For corporate-owned BurgerFi, same-store sale decreased 14% and franchise restaurant, same-store sales decrease 8%. BurgerFi restaurant level operating margins was 2.8% for the quarter of 2023 compared to 9.4% in the fourth quarter of 2022. This was largely the result of loss leverage on fixed costs due to same-store sales decline along with higher gains from franchise fee termination fees, gift card breakage and income from VegeFi sales that benefited the prior year quarter. As mentioned earlier, food and paper margins continue to be a positive story, a trend we expect to continue despite the continued pressure on beef prices. While we're not immune to these price increases, we don't expect to see the same level of increases that others have seen. This is because, as discussed last quarter, we have secured a secondary supplier that should allow us to insulate ourselves from any volatility in beef price for 2024 and beyond, while giving us an edge on pricing. We are confident that we will continue to seeing improvements in food and paper margins due to these benefits and the positive impact from inventory management and procurement systems that continue to yield improvements. Looking into 2024, we believe the combination of menu enhancements, improved marketing, and the contribution of new stores return us to positive total growth at BurgerFi. At that point, operating leverage of the BurgerFi business will start to emerge in a compelling way. Turning to Anthony's, corporate-owned restaurant sales were down $31.1 million in the fourth quarter, compared to $33 million in prior year fourth quarter. The decrease was driven by a 2% decrease in same-store sales when compared to the fourth quarter of 2022. Staying with Anthony's, on restaurants profitability, restaurant level operating margin was 15% for the fourth quarter of 2023 compared 15.2% in the fourth quarter of ‘22. This was due to loss leverage on fixed cost because of the same-store sales decline. Food and paper margins improved modestly in the quarter despite continued higher pork prices and higher wing prices. Importantly, we expect to see greater improvements in Anthony's in 2024 as the inventory management and procurement systems currently positively impacting BurgerFi today start to take hold in Antony's. Additionally, we expect it to start rolling out a new POS system in Anthony’s and expect most if not all 59 stores to be converted by the end of second quarter 2024. The system is a significant upgrade to the 20-plus year old platform and stores today employing handheld devices and advanced KDS technology to drive greater efficiency and customer engagement in the stores. [Inaudible] Anthony's, we'll also see in its second franchise location later this year with an expectation for more in 2024 and beyond. Back to consolidated results, we report a net loss of $10.7 million in fourth quarter compared to a net loss $26.2 million and the year ago quarter. This quarter reduction in net loss is primarily due to lower goodwill and fixed asset impairments, lower depreciation and amortization expenses, lower general and administration expenses primarily due to litigation expenses partially offset by lower leverage on sales. Adjusted EBITDA was $671, 000 in the fourth quarter compared to $2.6 million in the prior year fourth quarter. The decline in EBITDA was especially evident in BurgerFi business. As we saw lower royalty income in the quarter due to lower franchise sales volume and didn't benefit from the higher franchise termination fees or breakage that we did in a fourth quarter prior. Further, keep in mind that some of the royalty declines were self-inflicted as the company made the right decision to close under performance stores in the quarter with some these declines partially offset by lower food costs and other operating expenses. Moving on to the balance sheet, our cash balance in January 1, 2024 was $7.6 million compared to $11.9 million at January 2, 2023. The decrease in cash of $4.3 million was primarily due to decreased cash from operating activities of $5.4 million and investing activities of $1.6 million, partially offset by cash provided by financing of $2.6 million. Cash used in operating activity include severance payments due to restructuring, store closing expenses, legal settlements, integration costs, and a decline in EBITDA partially offset by receipts of employee retention credits. Cash outflows for investing activities were $1.6 million due capital expenditures offset by proceeds from the sale of assets. Cash provided by financing activity of $2.6 million was due to proceeds and issuance of common stock and proceeds related party notes payable partially offset by term loans and line of credit repayments. Looking forward, as we stabilize top line volumes and resolve non-recurring cash events, we continue to refocus on use of cash for EBITDA growth. Now, before I move to guidance and update on covenant compliance, anyone who is familiar with our credit agreement will know that we have a $12.5 million cash reserve requirement, which includes a $4 million Swingline. As noted earlier, we are below this level and no longer compliant with our senior lender agreement. We are in active conversations with the lenders, but cannot provide any more updates at this time. Additionally, later today or tomorrow morning, investors will receive a 12B-25, providing notice that the BurgerFi will delay the filing of its Form 10-K. We are shooting to have a 10-K out by the end of this week, and there will be more details in that filing. Now, turning to our fiscal 2024 outlook, we expect total revenues of $170 million to $180 million, which assumes a low single-digit increase in same-store sales for corporate-owned locations, the addition of 10 to 15 new franchise restaurants, as well as including one Anthony's in our New York City BurgerFi flagship location, continued improvement in our cost of goods driven by increased adoption inventory management of both brands, adjusted EBITDA of between $7 million to $9 million, and CapEx expenditure between $2 million to $3 million. With that, we'll open up the call for questions. Thank you.
Operator: [Operator Instructions] Our first question today comes from Peter Saleh from BTIG.
Ben Parente: Thank you, gentlemen, and good afternoon. It's actually Ben Parenti on for Peter this evening. So a couple of questions on our end. The first is if you could just maybe dig into the sales trends in the fourth quarter as well as anything year-to-date, you're willing to share for both brands in particular maybe the monthly cadence during the fourth quarter as well as any geographic differences you saw between the Northeast and the Florida market would be would be helpful.
Carl Bachmann: Yes, I can start addressing that and Chris feel free to jump in but definitely weaker performance in Florida as we saw kind of that seasonality trend come back to normal, post-COVID trend. But the early fourth quarter was slow, and then we saw a good rebound in December as we got into the holidays and we started to see kind of influx in Florida. As far as both brands outside of Florida, stronger fourth quarter results, especially in the Northeast on the Anthony’s side. As you got into the first quarter, I think weather hit a lot in the East Coast both North and South. So January was a little disappointing for us, but we saw a slight improvement in February and a marked improvement in both brands in March. As like we talked about Anthony's, when you take it into consideration, Easter Flip was actually positive same store sales. So we are right in line with what I believe is our guidance for the year and moving in that direction. So hopefully that answered your question.
Ben Parente: It does, thank you. Thank you very much for that. Secondly, maybe for you, Carl, is following the strategic review of BurgerFi that you did, could you maybe comment on the health of the franchise system as you see it today, are there any changes or improvements you think need to be made among the franchised system? And maybe you can touch on expected closure, relocation and/or repurchase activity that you're anticipating for this coming year.
Chris Jones: Yes, so in the fourth quarter, we took, well, in third quarter we took a really good look at our franchise system from two perspectives, do we have the right franchisees and are we giving them the level of support? So we really worked hard to improve our support, our communication on that side of it and we got to work on it early and I think the end result is you're seeing a much better level of communication support between franchisor and franchisee as we've elevated the support and communication. We've also determined that there were certain franchisees in the system that was not a good fit for us and that's why we've made those closures. I believe we noted in the call. We closed five, I believe franchise BurgerFi that were underperforming. So we still think there may be a couple out there, but we think we tend to hear, so to speak, and really gotten that behind us and we have some very good, strong franchisees that have reengaged and are growing. So we are very excited about that. So I think we're in a good place there. We have a lot of interest in our non-traditional growth side of BurgerFi from a franchisee perspective. I truly believe that the strategy today is bringing BurgerFi to where people are at in life as opposed to just putting a brick and mortar store are up and hoping that the marketing gets them in the door. So we see the opportunity in airports, amusement parks, casinos, hotels, the movie theaters, and we have a lot of interest from those groups. And Apple Cinema is one great example of the kind of non-traditional franchise growth. We're negotiating, working with them on opening quite a few stores, and opening our second store here shortly in Warwick, Rhode Island. So a lot of good franchise growth coming and we're seeing a much better interest from existing franchisees that are really looking for their second or third concept. So franchisee that have operational structure, financial structure and their own infrastructure that they can support, that's the kind of partners that we are looking and engaging and starting to see quite a bit of new interest as a result of that. I think that answered your question.
Ben Parente: Yes, it did.
Carl Bachmann: I think one more thing that I'd add to that if you'd ask the question about the repurchase of existing franchise operations. And I think we should be clear that that's not something that we do a lot of. Obviously, we did buy two of those operations down in Miami. If they are in strategic locations, I would think you should look at locations like that as being places where we might consider that, but as a general rule, it's certainly not something that we would do. But here again, in strategic locations where we think it is a good opportunity for where we can grow, it will be something we will consider, certainly if the deal is good.
Ben Parente: Understood. Maybe my last question then is for you, Chris, and then I'll pass on the queue. Could you just comment on is there a restaurant level margin target or guidance contained within be adjusted EBITDA outlook for this year and I understand if you're not willing to give an explicit RLM target for the year, could you maybe just speak to the puts and takes on some of the line items aside from the cost of goods improvement that you are expecting for the year?
Chris Jones: Absolutely. So, I think, I probably will shy away from giving a specific margin rate or that kind of level of detailed guidance but to your point certainly cost of goods will continue to, food and beverage will certainly be a large part of it but we also do believe that other operating expenses we will be able to get our hands around as well as labor costs One of the things that this organization has struggled substantially with labor, you don't necessarily see it manifested in the numbers today but I think you what we are seeing is a substantial reduction in turnover, and so a big reduction in training hours and such as well. So that would be an area where I think we could see substantial improvement, in particularly in the event that we start to get some positive top line. I would say that was where you would see the most dramatic improvement in terms of overall leverage. Secondly, I thing a corporate G&A will continue to be an important area for us. We are holding the line on corporate expenses here, and I can think that's something in that trend that we are going to able continue as well.
Operator: And, ladies and gentlemen, with that we'll be concluding today's question and answer session, as well as today' s presentation. We thank everyone for joining. You may now disconnect your lines.